Operator: Good morning. My name is Karen, and I’ll be your conference operator today. At this time, I would like to welcome everyone to Tennant Company’s Second Quarter 2024 Earnings Conference Call. This call is being recorded. There will be time for Q&A at the end of the call. [Operator Instructions] Thank you for participating in Tennant Company’s second quarter 2024 earnings conference call. Beginning today’s meeting is Mr. Lorenzo Bassi, Vice President, Finance and Investor Relations for Tennant Company. Mr. Bassi, you may begin.
Lorenzo Bassi: Good morning, everyone and welcome to Tennant Company’s second quarter 2024 earnings conference call. I am Lorenzo Bassi, Vice President, Finance and Investor Relations. Joining me on the call today are Dave Huml, Tennant’s President and CEO and Fay West, Senior Vice President and CFO. Today, we will provide an update on our 2024 second quarter performance. Dave will discuss our results and enterprise strategy, and Faye will cover our financials. After our prepared remarks, we will open the call to questions. Our earnings press release and slide presentation that accompanies this conference call are available on our Investor Relations website. Before we begin, please be advised that our remarks this morning and our answers to questions may contain forward-looking statements regarding the company’s expectations of future performance. Such statements are subject to risks and uncertainties and our actual results may differ materially from those contained in the statements. These risks and uncertainties are described in today’s news release and the documents we file with the Securities and Exchange Commission. We encourage you to review those documents, particularly our safe harbor statement, for a description of the risks and uncertainties that may affect our results. Additionally, on this conference call, we will discuss non-GAAP measures that include or exclude certain items. Our 2024 second quarter earnings release includes the comparable GAAP measures and a reconciliation of these non-GAAP measures to our GAAP results. I’ll now turn the call over to Dave.
Dave Huml: Thank you, Lorenzo, and hello, everyone. On the call today, I will be discussing highlights from the second quarter 2024, our outlook for the remainder of the year, and the progress on our enterprise strategy. I am pleased to report on our strong results in the quarter, lapping a previous record high second quarter in the prior year, we achieved both organic net sales growth and increased adjusted EBITDA. Our performance was driven by generating strong order demand, as well as continued strong backlog benefit. Enabled by the execution of our enterprise strategy initiatives, we expect to drive continued order growth in the second half of 2024. For the second quarter of 2024, net sales increased 2.9% and to $331 million, and adjusted EBITDA rose to $58.6 million, resulting in an adjusted EBITDA margin of 17.7%. We are pacing ahead of our year-to-date backlog reduction expectations, and we are confident in our ability to achieve the $80 million to $100 million of backlog reduction in the full year 2024, as we previously communicated. With this backlog reduction, we now believe we will exit 2024 with a normalized backlog level and market competitive lead times across the entire product portfolio globally. Second quarter order rates were very strong, up double digits compared to both the first quarter of 2024 and second quarter of 2023. This order demand generation is a direct result of the investments we made and the execution of our enterprise growth strategy. Looking ahead to the second half of the year, we are forecasting continued strong order growth, driven by rigorous execution of targeted growth initiatives. We expect increased impact on growth from incoming orders as the backlog reduction benefit moderates in the second half. With our strong first-half performance as a company, we are increasing full-year guidance for both net sales and adjusted EBITDA. Despite known challenges and reasons for caution in the macroeconomic environment, demand for Tennant products and services remain strong. Tennant's enterprise performance during the quarter gives us momentum, and we are forecasting higher net sales in the second half of the year. Circling back to our solid second quarter as a company, our business results varied by geography. In the Americas, order rates during the quarter were up double-digits compared to the prior year period, and we continue to reduce the backlog in our industrial machines. Our strategic investments in this region continue to deliver strong order rates, outpacing market growth, giving us reason to believe our strong leadership position is growing. In EMEA, it was a challenging quarter across the region, compounded by lapping a previous quarter with higher backlog reduction benefit. Economic activity in EMEA's manufacturing sector remains sluggish and our sales were flat. Despite this broad-based market softness, we are seeing indicators that give us reasons for optimism in our outlook for the region. In Italy, for example, we are seeing strong order rates as we build out our distribution network with a focus on industrial, BSE and retail vertical market customers. Also, across the region, we are building a strong pipeline of opportunities, leveraging our market-leading AMR product portfolio and value proposition. Overall, order rates in the region are up compared to the prior year quarter, and we expect to see continued improvement during the second half of 2024. In APAC, we faced a difficult quarter, driven primarily by stark declines in China, where we are experiencing slowing demand. As has been widely reported, excess manufacturing capacity and government-induced overproduction in China are pressuring market prices in our mid-tier product offerings. This is affecting not just the China market, but the broader region as well, and we do not see this dynamic changing for the remainder of the year. In Australia, we are seeing customer caution and a moderating in demand as some customers delay order decisions. As a result of the Q2 slowdown, we are expecting minimal growth in the APAC region for the full year 2024. Last year, we introduced the 3 pillars of our new enterprise strategy: growth, performance and people. We continue to resource, invest and execute targeted initiatives across each of these pillars, and I'd like to take the opportunity to provide you with several key updates from the quarter. Within the growth pillar, pricing is a critical piece to driving growth. Our pricing strategy is about maximizing our market position to realize growth and capture the value we deliver to our customers. During the second quarter and throughout the first half of 2024, we saw price growth across each of our key geographies. At an enterprise level, we are targeting approximately 50 to 100 basis points of annual price growth as part of our long-term goals. We are well positioned to achieve that in 2024 as we continue to monitor market dynamics to capture both long-term price and volume growth. New product development is another important focus in our growth pillar. During the second quarter of 2024, we started shipping our first X4 ROVR orders to customers. As previously discussed, the X4 ROVR is our first purpose-built autonomous floor-cleaning machine and our fourth robotic scrubber. The new X4 ROVR is the first machine to be powered by the Gen3 BrainOS robotics platform available exclusively to Tennant. Last quarter, we evaluated increasing production due to strong initial customer interest and opportunity pipeline. As orders and customer interest for the X4 Rover continue to increase throughout the second quarter, we decided to increase our manufacturing capacity to support the anticipated order demand. In addition to the strong market reception for our new export Rover, we also continue to see high demand in each of our existing AMR products as customers are replacing and expanding their existing AMR fleet with new units. These reorders demonstrate the continued market preference for the tenant AMR value proposition and the potential for continued growth across each of our AMR product lines. The T-16 AMR, our first industrial robotic floor scrubber, targeting manufacturing, warehousing and logistics verticals has seen some of the strongest adoption rates. Customers in those verticals are already familiar with the benefits of robotics and are excited to take advantage of the T-16 AMR capabilities. AMR unit sales, including the export over for the first half of 2024, are trending well ahead of both the prior year and previous multiyear averages. This trend supports our belief that we have a winning product portfolio and strong value proposition in the market. Also within our growth pillar is our M&A strategy, which prioritizes opportunities that provide tenant with the right strategic value, operational fit and financial return. Our focus is on three areas: one, growing the core, two, driving value through connected autonomy; and three, expanding into select adjacencies. Our previously mentioned investment in Brain Corp aligns with our second focus area, driving value through connective autonomy and has been a key driver in our AMR success this year. Our investment in Brain Corp provides us exclusive access to Gen 3 technology, increased selling efficiency and the opportunity to benefit from annual recurring revenue. We are realizing the intended benefits of our strengthened relationship with GrainCorp and are excited to continue to lead the robotics disruption of the global mechanized cleaning equipment industry. Our previously announced acquisition of TCS, Tennant's long-standing distributor based in Austria, aligns with the first focus area within our M&A strategy, growing the core. Our TCS integration is on track to date and the business is performing in line with expectations. We are impressed by the teams in these geographies and are developing aggressive growth -plans for the business in this attractive region. Our successful execution on our M&A strategy is due to our financial strength and disciplined capital allocation strategy. As we continue to generate strong cash flow and maintain a strong balance sheet, we are well positioned to act on those target opportunities aligned with our M&A strategy. Now, turning to our performance pillar and sustainability. In June, Tennant published our 2024 sustainability report. This year's report marks the first year of reporting aligned to our new sustainability framework, driving people Healthy Planet. We are proud of the work we are doing to embed sustainability and how we think, plan and operate our business. We believe that by setting ambitious goals, we will drive progress for our customers, our business, our people, our communities and the planet. The report details the significant progress we made, including integrating our net zero goals into our product line strategies, continuing progress toward our validated net zero targets by reducing our Scope 1 and 2 greenhouse gas emissions 13% and sourcing 92% of our global electricity from renewable energy sources and reducing our Scope 3 emissions by 8%. Our ERP modernization journey is the second piece of our performance pillar. The project is on track, and our focus in 2024 continues to be on the design and build phase of the implementation. Our significant investment in this ERP consolidation project will provide a strong and secure digital infrastructure to enable globally standardized processes and systems for scalable growth by better serving more customers and unlocking operational efficiencies. Overall, our second quarter results reflect solid execution on our enterprise growth strategy, providing strong momentum for the remainder of 2024 and the years ahead. With that, I will turn the call over to Fay for a discussion of our financials.
Fay West: Thank you, Dave and good morning, everyone. In the second quarter of 2024, Tennant delivered GAAP net income of $27.9 million compared to $31.3 million in the prior year period. Net income performance in the quarter was driven by higher net sales from price realization. This was partly offset by volume declines in the EMEA and APAC regions. Overall, while our volumes remained flat, we are pleased with the net volume growth we are seeing in the Americas. Operating expenses were higher in the current year due to the ERP implementation as well as transaction and integration costs associated with our investment in Brain Corp and the acquisition of TCS. Looking beyond operating income, interest expense in the second quarter was $1.5 million lower than the prior year period. This was driven mostly by lower debt balances as we meaningfully reduced debt during the second half of 2023. Our average interest rate, net of hedging for the second quarter of 2024 was 3.88% compared to 4.35% in the prior year quarter. Income tax expense in the quarter was $0.4 million higher than the prior year period. Our effective tax rate was 24.4% in the second quarter of 2024 compared to 21.6% in the prior year. The increase was primarily due to an increase in nondeductible executive compensation and unfavorable changes in the mix of forecasted earnings by country. Excluding ERP implementation and other non-GAAP costs, adjusted net income in the second quarter of 2024 was $35.2 million compared to $34.7 million in the prior year period, a 1.4% increase. Adjusted EPS for the second quarter of 2024 decreased 1.6% to $1.83 per diluted share compared to the prior year period. Looking a little more closely at our quarterly results. For the second quarter of 2024, consolidated net sales totaled $331 million, a 2.9% increase compared to $321.7 million in the second quarter of 2023. On a constant currency basis, organic sales increased 2.7%, driven primarily by strong price realization across all regions. Additionally, there was a shift in product mix from smaller commercial equipment to larger industrial equipment. Volumes in the current period were negatively impacted by sluggish economic growth in EMEA and difficult business conditions in APAC. As a reminder, we group our net sales into the following categories; equipment, parts and consumables, and service and other. We experienced growth in both equipment and service product categories in the second quarter as compared to the prior year period. Equipment net sales grew 3.7% and service grew 8.2%. Parts and Consumables declined 3%, driven primarily by a distributor consolidation. Tenant also grows its sales into three regions: the Americas, includes all of North America and Latin America. EMEA covers Europe, the Middle East and Africa, and Asia Pacific includes Australia, China, Japan and other Asian markets. Organic sales in the Americas increased 5.5% compared to the prior year period. The increase was driven primarily by price realization and favorable product and channel mix across the region. This was partially offset by unit volume decreases in North America, specifically in our commercial machines, which had a higher backlog benefit in the prior year period. Organic sales declined 0.3% in EMEA, due to volume declines in both equipment sales and parts and consumables, partially offset by price realization in all product categories. EMEA volumes were impacted by weaker-than-expected market conditions and a smaller contribution from backlog reduction in the current period. Organic sales decreased 11.9% in APAC, primarily due to volume declines in Australia and China, partially offset by price growth in Australia. Adjusted EBITDA for the second quarter of 2024 was $58.6 million, up 1.7% compared to the second quarter of 2023. Adjusted EBITDA margin for the second quarter of 2024 was 17.7% of sales, essentially flat compared to the second quarter of 2023. Gross margin was 43.1% in the second quarter, a 30 basis point decrease compared to the prior year quarter. The slight margin rate decrease is attributed to higher inflation, while price realization and cost savings activities materially offset inflation during the quarter. Our overall margin rate is supported by a continued shift to industrial equipment and the direct sales channel. Adjusted selling and administrative expenses in the quarter totaled $87.5 million, a $1.7 million increase compared to the second quarter of 2023. The increase was driven in part by higher compensation and benefit expense related to incremental resources to support the company's enterprise strategy. Adjusted SG&A expense as a percent of net sales was 26.4%, essentially flat to the 26.7% in the second quarter of 2023. Turning now to capital deployment. Net cash provided by operating activities was $18.6 million during the second quarter compared to $39.1 million in the year ago period. The decrease in operating cash flow was primarily driven by increases in working capital due to the timing of sales during the quarter as well as investments in ERP modernization costs totaling $9 million, resulting in free cash flow of $14.4 million for the quarter. Excluding these non-operating items, free cash flow was $23.4 million for the second quarter of 2024. The company continues to deploy cash towards operational capital needs and to return capital to shareholders in line with its capital allocation priorities. During the second quarter, the company invested $4.2 million in capital expenditures and returned $13.3 million to shareholders through dividends and share repurchases. Tenants liquidity remained strong with a balance of $84.6 million in cash and cash equivalents at the end of the second quarter and approximately $321.8 million of unused borrowing capacity on the company's revolving credit facility. On August 7, the company refinanced its existing debt agreement increasing its revolving credit facility limit to $650 million. This gives the company more flexibility and capabilities for growth through M&A and offers significant potential for driving expansion and creating value for our stakeholders. The company continues to effectively manage debt and maintain a strong balance sheet. Our net leverage was 0.6 times adjusted EBITDA and below our targeted range of 1 times to 2 times adjusted EBITDA. Moving to 2024 guidance. Overall, based on the strong order growth rate and demand for our products and services, we are now forecasting slightly higher net sales for the full year 2024. As backlog returns to normal, removing the higher pricing within we anticipate a shift back to a typical product mix between industrial and commercial machines and the return to a more normal gross margin. We anticipate higher operating expenses in the second half of 2024 compared to the first half with a targeted focus on new product development within R&D. We will remain disciplined and prudent in our spending, focusing our investments in areas that position us for future growth and increased operating efficiency. Given these factors and the strong profitable growth in the first half of the year, we are raising our outlook for the full year 2024. Specifically, we now expect net sales to be in the range of $1.280 billion to $1.305 billion, reflecting organic sales growth between 2.5% and 4.5%. Adjusted EPS of $6.15 and to $6.55 per diluted share, which excludes certain non-operational items and amortization expense. Adjusted EBITDA in the range of $205 million to $215 million; adjusted EBITDA margin in the range of 16% to 16.5% and and capital expenditures of approximately $20 million. With that, I will turn the call back to Dave.
Dave Huml : Thank you, Fay. In summary, I am very proud of the global team and our ability to continue our growth trajectory, as we are lapping a record prior year. The investments we are making and innovative products we are delivering to our customers' position us well to deliver on our increased full year guidance. I wanted to thank everyone who joined us for our Investor Day at the New York Stock Exchange in May. It was well attended, and we received positive feedback from those who have attended in person as well as remotely. A recording of the event, along with the presentation is available on our investor website. With that, we will open the call to questions. Operator, please go ahead.
Operator: [Operator Instructions] Your first question comes from the line of Steve Ferazani from Company Sidoti. Please go ahead.
Unidentified Analyst: Hey, good morning, guys. This is Daniel. I'm actually filling in for Steve today. Given the strength once again of EPS and the good strong orders, can you maybe just provide a little bit of color on why you decided to lower the high range of your EPS guidance?
Lorenzo Bassi : Yes. I think as we look at tax rate, as we look at interest expense, as we look at kind of the overall expense, I think that's a contributing factor to our overall kind of EPS.
Unidentified Analyst: Okay. Perfect. And then you touched on the geographic areas, but and you -- Italy is promising right now. But in general, are you seeing any recovery in any other areas within EMEA?
Dave Huml: Thanks for the question, Daniel. We are seeing, I would call it, a still sluggish demand across the region. We highlighted Italy because it's an area that we have made specific investments in, and we're starting to see green shoots of return on those investments. Coming just on quarter, we just positivity in the UK as well as from our acquisition in Central and Eastern Europe, the TCS acquisition. So those will be points I would highlight as points of positivity coming through the quarter from a market demand perspective.
Unidentified Analyst: Perfect. And then just one more, if you don't mind. Could you just touch a little bit on the M&A pipeline that you see right now?
Dave Huml: Yes, happy to. So we've been very transparent with our strategy around M&A. We're focused on deals that defend and grow our core business that allow us to grow and capture value in the connected autonomy space and then the adjacency of other mobile equipment. We developed a funnel of over 800 target companies aligned with that strategy, and we are actively working that funnel I would point at the brain agreement, although technically not an acquisition and the equity stake we took in brain and the agreement we signed are providing commercial benefits to accelerate our AMR adoption, our AMR sales in the marketplace, and we are realizing benefits from that investment. At TCS, which was our acquisition in Central Eastern Europe, is on track and yielding the incentive benefits. We have 2 proof points of action here early in the year within our M&A funnel. We are actively working that funnel and prioritizing targets. As you know, M&A could be a bit episodic and out of our control as far as pacing, but we are actively engaged working the funnel and when I say we -- this is an enterprise priority. So Fay and I are hands on with some targets, and we have resources within the company that are also identifying high-priority relationships to form and strategic areas within the funnel that we should be focusing for acquisition. The other thing I would highlight, as Fay mentioned in her opening remarks, we've got our debt leverage below 1 time. We've expanded our revolver, and so -- and we're showing strong cash conversion on the year. And so we've got the financial firepower that when the right deal comes along, we're prepared to move quickly. We've got the financial firepower to do it. So we look forward to updating you more on specifics as we move through the second half and into 2025. But I assure you this is an enterprise priority and will be a strong contributor to our value creation strategies in the coming years.
Unidentified Analyst: Great. We really appreciate it and best of luck in the second half of the year. Thanks, Daniel.
Operator: [Operator Instructions] Since there are no further questions at this time, we would like to turn the call over to management for closing remarks.
Dave Huml: Thank you. I want to thank you all for your participation today and for your interest in Tennant Company and a special congratulations and thank you to the entire global Tenant team that may be listening to the call. We were bond of saying that growth is a team supports the tenant company. And so these results are a direct reflection of your efforts and contributions. This concludes our earnings call. Have a great day.
Operator: Thank you. Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect.